Operator: Welcome to the FactSet Research System’s Second Quarter Fiscal 2008 Quarterly Earnings Conference Call. (Operator Instructions) Now I will turn the call over to Mr. Peter Walsh, Chief Financial Officer. Sir, you may begin.
Peter Walsh: Thank you, Operator. And good morning everyone. Welcome to FactSet’s Earnings Conference Call for the Second Quarter of Fiscal 2008. Joining me are: Phil Hadley, Chairman and CEO; Mike DiChristina, President and Chief Operating Officer; Scott Beyer, head of our non-U.S. operation; Kiernan Kennedy, Director of Investment Banking; and Mike Frankenfield, Director of our U.S. Investment Management business. This conference call is being transcribed in real time by FactSet’s CallStreet service and is broadcast live via the Internet at factset.com. A replay of this call will also be available on our website. Our call will contain forward-looking statements reflecting management’s current expectations based on currently available information. Actual results may differ materially. More information about factors that could affect FactSet’s business and financial results can be found in FactSet’s filings with the SEC. Lastly, FactSet undertakes no obligation to publicly update any forward-looking statements as a result of new information, future events, or otherwise. Today we will divide our time among three areas: First, I will review Q2 results; then I will cover guidance for the upcoming 3rd Quarter; finally, we will close by addressing your questions. Before I talk about results I would like to take a moment to highlight three items: One, please recall revenues in the prior year quarter were aided by $1.2 million of incremental, non-subscription revenue from FactSet’s Partner’s product. Excluding the incremental $1.2 million revenues were up 22% for the second quarter of 2008. Partners is a software product used to author equity research reports. Deployment fees related to Partners are not included in the calculation of annual subscription value, also known as ASV. To aid investor’s ability to make more precise interpretations of FactSet’s financial results, a supplementary schedule was included with today’s press release that summarizes non-subscription revenue. Two, included in the quarter’s EPS was a charge of $2.4 million related to an increase in the estimate of the number of performance-based stock options that will vest in August 2008. During the second quarter FactSet estimated that it was probable that the company would achieve ASV and diluted earnings per share growth of at least 20% on a compounded annual basis for the two years ended August 31, 2008. This reflects a higher performance level than previously estimated and accordingly increased the number of options that are estimated to vest at the end of fiscal 2008. This change in estimate reduced diluted earnings per share by $0.03 and decreased operating margins by 180 basis points, from 32.6% to 30.8%. We have included non-GAAP financial measures to adjust operating and net income for the incremental of stock-based compensation. Reconciliations between GAAP and non-GAAP financial measures are included in year end’s press release, which can be found at our web site under Investor Relations. We hope that utilizing these reconciliations will help you understand our results and our performance versus the year-ago period. Three, the U.S. Federal R&D Tax Credit expired on December 31, 2007. Our effective tax rate is based on current enacted tax laws and appropriately reflects the credit only for the first four months of fiscal 2008. The expiration of the R&D tax credit caused FactSet’s Fiscal 2008 Effective Tax Rate to rise by 70 basis points in Q2. Moving on to the review of the second quarter. Q2 was another excellent quarter for FactSet. This is evident in our strong, organic ASV growth rate of 22.5% and higher levels of profitability. Excluding the DealMaven acquisition and currency effects, ASV increased by a record $30.3 million during the quarter. Top-line growth is also contributing to higher margins in earnings per share. Excluding incremental stock-based compensation, our operating margin accelerated to 32.6%--up 90 basis points—sequentially from the first quarter and EPS was up 19% over the last 12 months. These results were achieved despite a difficult selling environment to IB clients. Our performance this quarter is indicative of broad-based growth among our investment management client base. Our growth came from all geographies and across many product lines. The key ingredient enabling us to attract more clients and users continues to be combining expansive functionality and premium content choices with first-class client service. Let’s begin the highlights of the quarter with free cash flow. Free cash flow captures all the balance sheet and P&L movement. As a reminder, we define free cash flows as cash generated from operations which includes the cash cost for taxes and changes in working capital less capital spending. During the last 12 months free cash flows rose 23% to $115 million. Free cash flows generated during the second quarter were $23.7 million, up 33% over the year-ago quarter. Drivers of free cash flow during Q2 were record levels of net income in higher non-cash expenses partially offset by a decline in working capital. The decrease in working capital was caused by an $8 million increase in accounts receivable and the timing of U.S. Federal estimated tax payments. We believe the increase in accounts receivable is not a concern for two reasons: one, as we reported on last quarter’s call, during the second quarter we issues invoices for services to be provided over the next 12 months that aggregated to $11 million. Accordingly, this increased accounts receivable. Two, it’s normal for our receivables to rise during Q2. The increase this year was 12%, which was lower than the 14% increase in the year-ago period. Over the last 12 months accounts receivable has increased 1% while ASV has advanced 22%. [inaudible] at quarter end were 45 days versus 55 days a year ago. Regarding taxes, on our last earnings call I spoke about how FactSet remits two estimated tax payments for the first half of the year during the second quarter. This additional tax payment reduces free cash flow in Q2. Estimated tax payments during the second quarter were $33 million, up from $23 million in the year-ago quarter. Our ending cash and marketable security balance was $147 million, down $24 million from November 30. During Q2 we invested $35.7 million to repurchase common stock, acquired DealMaven for $14 million, and paid a quarterly dividend of $5.8 million. Including the $125 million increase, the share repurchase program announced this past January there are $117 million remaining in repurchase authorization. Capital expenditures during the quarter were $7.4 million. Expenditures for computer equipment were $5.2 million, and the remainder covered office space expansion. Major computer expenditures included adding six Hewlitt Packard Integrity mainframes to the company data center, which successfully completed the transition to HP Integrity mainframes in both data centers well ahead of schedule. Now moving to the P&L. Revenue was $140.2 million, up 21% versus a year ago. Excluding non-subscription revenues the growth rate was 22%. Non-GAAP operating income, which excludes the $2.4 million incremental charge related to performance options, advanced 21% to $45.7 million. Non-GAAP net income rose 17% to $31.1 million in the second quarter. Non-GAAP EPS rose 19% to $0.62 per share. The growth rates of non-GAAP net income and EPS were adversely impacted by a 20% decline in other income, to $1.4 million for the quarter. Let’s take a look at the revenue drivers. ASV increased $33.9 million during the quarter. Excluding $3.2 million from the acquisition of DealMaven and $400,000 from foreign exchange, ASV increased $30.3 million, or 22.5%. As a reminder, we define annual subscription value, or ASV, as the forward-looking revenues for the next 12 months from all subscription services currently being supplied to our clients. The ASV change for the quarter was almost entirely derived from FactSet’s global investment management client base. As disclosed last quarter, investment banking clients are carefully managing expenses during the current market-cycle downturn. While we’re not players with ASV growth on the sell side, we’ve been encouraged by the fact that our user count from IB clients rose during each of the past two quarters. FactSet’s investment management business is accelerating across all geographies and represents 78% of total ASV. ASV growth rates in the U.S., Europe, and Asia all exceeded 20% at quarter end. During the second quarter $6 million of the $33.9 million increase in ASV was due to a pricing change for most U.S. investment management clients. A 3% price change was announced in the summer of 2007 and took effect on January 1, 2008. By this cost-of-living price adjustment the U.S. client was the first to [inaudible] and we expect to repeat this practice on an annual basis. ASV was $575 million at February 28. On a constant currency basis ASV advanced $104 million over the last 12 months, an organic growth rate of 22.5%. We believe our ASV performance this quarter demonstrates that it is important not to underestimate the value buy-side clients place on FactSet. This value is driven by a combination of three things. First, our advance applications, such as PA, [inaudible] PA, the portfolio optimizer, portfolio publishing, alpha testing, portfolio simulation, and Marquee are all very powerful applications for end users. Second, on top of these advance applications is a wealth of data with global coverage that is completely integrated for premium content providers. It’s not just to access to data for more than a hundred third-party providers, but the ease in which clients can mix and integrate their own data, especially their portfolios, into the advanced application. Third and finally, what brings the applications and data together is our drive to solve client problems. Our client-friendly culture has translated into one of the best service reputations in our industry. More specifically, let me turn to the trends we recognized from a product perspective this quarter. Portfolio analytics remains a strong and consistent source of growth. We treat it comprehensive and it includes applications for portfolio attribution, risks, quantitative analysis, portfolio publishing, and returns based style analysis. The Portfolio Analyst’s work station is the largest revenue contributing member of the portfolio analytics product suite. At quarter end there were 595 clients who subscribed to this service. Users increased to 5,248, a growth rate of 25% over the prior year. We’ve been pleased with the demand for our risk products and the effect of integrating and offering clients the choice of first-class risk providers, such as Barra, Northfield, and APT. Higher demand for the Portfolio Analysis workstation and quantitative products also have the affect of increasing subscriptions to our vast, benchmarked content, such as MSCI, Russell, S&P and FTSE. Marquee is now able to service the needs of a global investor. Its deployment is ramping nicely with user growth over 50% on a year-over-year basis. We’ve also been successful in selling our proprietary content, including facts and estimates, ownership data and information related to shareholder activism. On the user side, professional subscribing at FactSet that increased to 39,100, up 1,300 since November 30. Client count was 2,021 at quarter end, a net increase of 28 clients during the past three months. Client retention remains above 95%, once again confirming the breadth and depth of the products we sell supported by a high-quality client base. Taking a look at geographic performance, our U.S. business produced revenues of $97.1 million in the second quarter. Excluding non-subscription revenues, the growth rate was 20%. On the international front, revenues increased 25%, up to $43.1 million. Excluding non-subscription revenue and holding currencies constant, revenue growth from overseas operations advanced 26%. By region, quarterly revenues from our European and Pacific Rim operations were $34.3 million and $8.8 million respectively. Subscriptions by non-U.S. based clients were $179.1 million, representing 31% of the company-wide total. Moving into expenses for the quarter, operating expenses were $78.5 million and our non-GAAP operating margins expanded 90 basis points from Q1 to 32.6%. Cost of sales, as a percentage of revenue, was up 2.3% over prior year. Drivers of the increase were higher compensation, performance-based stock option expense and additional data cost. Higher compensation was driven by new employees. The rise in stock-based compensation reflects the incremental charge from performance-based stock options. The increase in data cost is driven by variable payments to data vendors from additional content subscriptions and more for proprietary data collection. SC&A expense, expressed as a percentage of revenue, declined 60 basis points, year over year. This decrease was driven by lower compensation and marketing expenses, partially negated by the one-time charge related to performance options. Lower compensation came from leveraging non-sales staff through enhanced internal information systems. Marketing expenses declined from a higher number of events in the prior year. Employee count at February 29, 2008, was 1,828. Excluding DealMaven, our headcount is up 22% from a year ago, and 10% over the past six months. Our annual effective tax rate for the quarter was 34.2%. Included in the rate was the effect from expiration of the U.S. Federal R&D Tax Credit in December 31, 2007. Our effective tax rate is based on current enacted tax laws and fiscal 2008 now appropriately reflects the R&D credit only for the first four months of the fiscal year. The expiration of the R&D tax credit caused FactSet’s fiscal 2008 effective tax rate to rise by 70 basis points in Q2. To provide context, the R&D credit was originally enacted in 1981. Over the last 27 years the credit has lapsed once, for almost a full year, between 1995 and 1996. Congress has extended the credit 13 times with extensions ranging from five years to six months. On several occasions the credit has been extended retro-actively, including the last extension in December 2006. Moving on to other income, it was $1.4 million for the quarter, a 20% decline year-over-year. The decrease was caused by FactSet’s reallocation of its investments to U.S. government-backed securities in late 2007 and the Federal Reserve lowering U.S. interest rates by 150 basis points during Q2. Let’s move to our outlook for the third quarter of fiscal 2008. Revenues are expected to range between $145 million and $149 million. This revenue guidance assumes zero revenues from Bear Stearns and that its pending sale will not result in any additional revenues at new or exiting clients. This estimate might be conservative since it’s not unusual for displaced FactSet users to resurface at existing clients, or prospect’s firms, and for some ASV to carry over and remain at a purchasing firm in a merger. Operating margins are expected to range between 30.5% and 32.5%. Operating margin guidance includes $900,000 of expenses related to the bi-annual FactSet Engineering Conference scheduled for May 2008. Other income is expected to be between $700,000 and $1.3 million. The midpoint of this range represents a 53% decline compared to the third quarter last year. The effective tax rate is expected to range between 34% and 35%, and assumes the R&D tax credit is not reenacted. Capital expenditures net of landlord contributions should range between $35 million and $41 million, a reduction in both ends of the range by $3 million from the [inaudible] items at the end of last quarter. In summary, we’ve made great strides over the past few years. We have consistently delivered record revenues and EPS while maintaining an impressive operating margin of approximately 32.5%. Over the last 12 months ASV rose by $104 million, approximately the same organic ASV growth for fiscal 2005 and 2006 combined. We generated a free cash flow of $115 million over the last year, an increase of 23%. Results half way through fiscal 2008 contributed to and perpetuate our strong results despite challenging market conditions. During the past six months organic ASV grew $51 million, a compounded annual growth rate of 21%. We believe that our ASV performance this quarter is clearly messaging that FactSet can put out strong results when the sell side is struggling. Future results adds to our string of 11 consecutive years and 47 sequential quarters of revenue growth as a public company. This would not be possible if we did not operate in an industry where our clients are very profitable and where our opportunities are enormous relative to our current size. Our view is that this long-term record of consistency clearly demonstrates the power of FactSet’s business model in any market cycle. Thank you for your participation in today’s call. We are now ready for your questions.
Operator: Thank you. (Operator Instructions) Peter Alford, you may ask your question. Goldman Sachs. 
Peter Alford - Goldman Sachs: Thank you. Peter, something you could maybe give us a little more color on, the drivers of password’s growth, where you are seeing the growth is related to new versus existing clients, for example.
Philip A. Hadley: Peter, it’s Phil. Good morning. The majority of our password growth comes from existing clients, and as Peter mentioned in the first half, and even in this quarter, it was both buy and sell side growth. But it’s traditionally large clients expanding our footprint. Marquee happens to be a driver of that in many of our clients.
Peter Alford - Goldman Sachs: Okay. And then I notice that the revenue per password is down a little bit on a year-to-year basis in the current quarter risks. How do I interpret that?
Philip A. Hadley: I think it just goes back to the most important metric being looking at total ASV—any time we have growth in passwords in large clients, like we did this quarter, it’s going to be lower than the average total password. A new client that comes on with two passwords, those two passwords are more expensive on a [inaudible] basis than a marginal password. So, it’s just a mixed--on a quarter to quarter, but not anything I would go on beyond that.
Peter Alford - Goldman Sachs: I guess that the reason I note it, it’s just in the context of the discussion of your great success in migrating customers to some of the more advanced products, which presumably carry higher fees per user—right? I would think that maybe more of the growth would then be coming from effectively pricing than units.
Philip A. Hadley: I think we get--the majority of the application growth would probably be on an existing user that we would be upgrading and then new passwords would tend to be—might be on Marquee seat, which on the margin would be not loaded all of the applications. They would essentially then progress to being fully loaded at the end.
Peter Alford - Goldman Sachs: Got it.
Philip A. Hadley: Okay.
Peter Alford - Goldman Sachs: What should we anticipate in terms of cost growth of say the next four to six quarters and specifically the thing about as you implemented the change in the computer systems, normally there’s higher depreciation expenses. Should we look for percentage growth rates and expenses to accelerate a little bit over the next several quarters?
Philip A. Hadley: I’ll let Peter take it.
Peter Walsh: The beauty of our ASV model is that it provides visibility in time to adjust our investment rates to correlate to future revenue growth. If you look historically, it’s not unusual for ASV to closely track revenues on an LTN basis six months into the future. That’s important and valuable. The FactSet compensation represents 65% of our total cost. If our ASV growth rate changes substantially up or down our focus on ASV will allow us to be thoughtful and calibrate our plans to adjust our expense level, which is most likely to be in the area taken.
Peter Alford - Goldman Sachs: Fair enough. And then just one more and I’ll let someone else ask a question. Any incremental thoughts in terms of the Thomson Werner transaction and specifically given that they’ve identified the products and areas that they might have to exit—opportunities for you from an acquisition or a product expansion standpoint?
Philip A. Hadley: Well, certainly from an acquisition perspective it hasn’t taken place yet so it hasn’t affected the marketplace in any material way, yet. I think that’s yet to come. We certainly are monitoring with the regulatory buyers, the values they’ve put out in the market place but at this point can’t comment on any thing that FactSet is doing.
Peter Alford - Goldman Sachs: Can’t comment in the context of whether there would be interesting products coming out of that that might be available for you for an acquisition standpoint?
Philip A. Hadley: Yes.
Peter Alford - Goldman Sachs: Okay. Thanks.
Operator: Kevin Doherty of Banc of America Securities, your line is open.
Kevin Doherty - Banc of America Securities: Thanks guys. I just want to see if you could kind of give us a little more color about what impact, if any, you might be seeing from some of the self-evaluating methods. It seems like you’ve been doing a good job, continuing to add new users and generate some Marquee penetration, so I’m just kind of curious, have you seen much of an impact yet, and when might that start to become a little more material in your business?
Philip A. Hadley: Well, I think that the impact for us, as far as just being able to notice something different in the marketplace, probably started last summer. As Peter said, it’s 22% of our business, it’s been softer in the first half than it probably had been in the year before, but at the same time, as he mentioned, we grew seats in client count in that area. I do think that we’re much better positioned in this cycle than we were in prior cycles to provide a better solution for our clients. This cycle we have got IBCentral, which is a specific product [inaudible] Marquee allows us a greater opportunity to [inaudible] clients. And our content in the sell side, in what we’re able to sell there, is significantly expanded from the last cycle. Now whether that’s private company information, private equities, venture capital, enhanced M&A, shareholder activism data, [inaudible] the list can go on. And lastly I would say that we have a wireless product that extends out from our key products that has been very popular. So I think all of those things provides greater opportunity in this cycle than we had in the last cycle.
Kevin Doherty - Banc of America Securities: And if we were to see a little more sensitivity in terms of the user growth or the ASV, how would that kind of balance out, one versus the other?
Philip A. Hadley: [inaudible]
Kevin Doherty - Banc of America Securities: Yeah, again, I mean, I guess historically in the last cycle we saw a lot more sensitivity on the user count and ultimately the ASVs were impacted so I’m just kind of curious if you would see any of that playing out and obviously it seems to be a lot more isolated this time versus the last cycle, but presumably if there was some slow down, what would maybe be the driver, at this point?
Philip A. Hadley: Maybe do some characterizations that would differentiate where we sit today versus where we sat six years ago. First of all, I think that buying patterns of our sell side clients are far more prudent than they were in the last cycle. There was a period of time in 2000 where anybody got anything they wanted, which we certainly benefited from, but as they contracted their businesses they became very efficient at allocating services, ours included, and you saw user count drop dramatically. I think in this cycle they were very prudent, even in the up part of the market, so I don’t feel the users in places where our product was on a desk but not being used. I also think that because of the strength of our product that we’re looked at as a potential consolidation source for them and are invited into opportunities to provide a broader solution and actually reduce their costs.
Kevin Doherty - Banc of America Securities: Okay, that’s fair. And could you say a bit more about some of the growth opportunities you see now with your investment management customers, as well as with the IB folks? I guess what areas you’re most excited about here that might have changed over the trends you’ve seen over the last year or so?
Philip A. Hadley: Well, certainly the fact that the trends tend to be very long-term trends. Our product cycle from creation to the point where it makes impact on our product—it seems to be it’s really five years before we create a product and it actually starts to become what we think of as a material product driver. Now, whether that be PA or Marquee, they all tend to have a very long cycle to them. And I think that’s just because it takes a long time to create a product that is valuable to many as opposed to valuable to a few. So, for us I think that they key product drivers are very consistent. Obviously the PA suite is very material to us. And it continues to broaden, so it’s not just attribution and it has many other features, as Peter mentioned. Marquee certainly allows us to expand our footprint inside a client and provide a greater value for our client. It’s becoming far more material to us. And just content in general and I split content into two parties [inaudible] our business model is willing to support third party contact very heavily so whether it derives from [inaudible] any of the benchmark providers, we’re very successful at distributing anybody’s third party content that’s needed by a financial professional. But in addition to that—obviously our product strategy changed over the last seven years—the market has changed. And that we also have fact and content that we have become very successful with. But I think all three of those really couple to our future opportunity.
Kevin Doherty - Banc of America Securities: Okay. And then just one follow-up. You mentioned some of the proprietary content. Are there any new areas you’re continuing to explore, where might you be concentrating more of your resources these days?
Philip A. Hadley: No, I would say making what we have better is always the focus. It’s one where the goal posts continue to move when it comes to content and what was accessible as a level of content a year ago, and a year from now, the content is a moving target. So, all of our content areas require continued focus [inaudible].
Operator: Randy Hugen of Piper Jaffray, your line is open.
Randy Hugen - Piper Jaffray Companies: Thanks and thanks also for the disclosure on Bear—have you been getting any pushback, specifically from the sell side—on the 3% price increases this year?
Philip A. Hadley: No. I think it was just viewed as a normal—and it was also just a buy side increase.
Randy Hugen - Piper Jaffray Companies: And is the 3% similar to the price increases that were implemented back in the 2001 to 2003 time frame?
Philip A. Hadley: I would say that if you called what we were doing back then a price increase—which it was for some and not for others—that was more of a reconfiguration of the price of our workstation. That was taking the value and lowering the front-end cost for a new client, but increasing that tail-end cost, or the price of the workstation, and I think it really reflected just a change in product mix as we continued to add Marquee and include that in the work station and add other content that were included in that workstation. I would categorize that as more of a reconfiguration than an inflationary price increase.
Randy Hugen - Piper Jaffray Companies: Okay. And then, would you scale back your level of investment if the market dips lower significantly, or would you kind of maintain the expected level of investment at the expense of margins?
Philip A. Hadley: I think our guidance historically has always been to track expenses with ASV or keep margins at constant. Obviously, you would need to re-evaluate how you keep your resources in your business at any point in time in the cycle, but we’ve had the luxury of always having growth so we’ve managed to accelerate or decelerate along with what the marketplace is willing to [inaudible].
Randy Hugen - Piper Jaffray Companies: Okay, thanks. And generally speaking and realizing that the sell side is becoming a less significant piece of your overall business, if a large sell side firm were to lay off, let’s say 10% of their equity research investment banking employees who are using FactSet, how would this impact your revenues and also how long would it take for that to show up?
Philip A. Hadley: A couple of things. How quickly does it take to show up? One of FactSet’s unique positions in the marketplace is our clients are able to adjust their subscriptions on a real time basis, which I think makes the value of our ASV number much more relevant than it would be if it were contractually-based. But the answer is that they can adjust it in real time on a monthly basis. The answer goes back to the answer of Peter’s question and that is the workstations on the margin aren’t the average workstation product. So the impact isn’t nearly as material as if you took the total number of workstations into our ASV number to come up with the average per workstation. But, our clients are adjusting their workstation plans up and down in real time all the time. So in the last six months some of the large clients have shrunk their workstations, some of the large clients have increased their workstations, just depending on how they feel their business is doing in the market place. So it’s something that has happened already and will continue to happen as time goes forward.
Randy Hugen - Piper Jaffray Companies: Okay. And then, finally, was Bear Stearns a top 10 client?
Philip A. Hadley: No. Our largest client is less than 3% of our total ASV. And Bear Stearns was significantly less than 1%. If you were to add some history to it, as similar in size as what Roberson Stevens was to us in the last cycle. It seems like every cycle one soldier goes down and that just happens to be the one in this cycle. Hopefully only one.
Randy Hugen - Piper Jaffray Companies: Let’s hope so. Thanks a lot.
Operator: John [inaudible] of William Blair, you may ask your question.
John [inaudible] – William Blair: Hi. Good morning, guys. A little bit more color, if you could, on the incremental stock compensation expense. This is from the performance-based options, I believe. Can you give us an update? I believe it was previously 20%. What percentage do you now expect of that?
Peter Walsh: Hi, John, it’s Peter. How are you? Early in the quarter we estimated that was probable that we would achieve ASV and diluted earnings per share growth of at least 20% on a compounded annual basis for the two years ending [inaudible]. But 20% is the new estimate. This 20% estimate reflects higher performance level than we previously estimated in Q1 and previous quarters. It’s important to know that there are times when proper accounting is predicated on an estimate and probable is a term in FAZ 123 that is utilized to describe this type of accounting judgment. So we think a probable is the likelihood of us [inaudible] ten times. I would encourage everyone to look closely at our 10-K and 10-Q. Ever since we issued performance options back in August 2006 we have been including a lot of transparency as to what is our estimate of performance-based options that work best. And what would be the change if that estimate changed up or down from a one time [inaudible] as well as the ongoing stock options expense. Obviously, if actual results meets or exceeds our estimate, coming this August 2008, we’ll certainly be very proud that we’ve delivered an increase—or an organic growth rate by 300 basis points over that two year period.
Philip A. Hadley: And again, the metrics—the performance triggers our organic AFC and net income growth.
Peter Walsh: The minimum is as organic as the [inaudible]
John [inaudible] – William Blair: In terms of the stock comp expense of $4.3 million versus the $2.7 million prior, is this a one-time adjustment you make during the quarter? Is this sort of setting the bar at $4+ million in stock comp expense on a go-forward basis?
Peter Walsh: The $2.4 million was a one-time incremental adjustment in this quarter.
John [inaudible] – William Blair: Okay.
Peter Walsh: If you go back to that disclosure it will also tell you how our ongoing quarterly charge will increment now that we estimate a higher number of performance options [inaudible]
John [inaudible] – William Blair: Okay. And then, a little bit more on the 3% price increase. I think that you mentioned that you are going to start to do this on an annual basis. Does that represent a change from past practice? When was the last sort of similar price increase done? And can you specify where the price increase was assesses? Was it on the base fee, the incremental fee? And then what’s historically been the contribution to top-line growth from price increases?
Philip A. Hadley: I think I’ll get all those questions.
John [inaudible] – William Blair: I can repeat them.
Philip A. Hadley: The first one, it was on the base seat. It was in the U.S. IM segment. It was the first time that we’ve implemented in the U.S. IM segment, but we plan to continue it as an annual policy going forward. Did I miss one?
John [inaudible] – William Blair: Just historically, is there a way to quantify what price increases have contributed to revenue growth on an annualized basis in a normalized kind of period, but if this is the first time you are doing it . . .
Philip A. Hadley: Yeah, I don’t think I could quantify that.
John [inaudible] – William Blair: Okay. And then last question. What were the DSOs in the quarter, excluding DealMaven? Thanks very much.
Peter Walsh: John, you should look at those DSO in the corner—45 days—DealMaven AR that we picked up [inaudible]
Operator: Dave Lewis of JPMorgan, you may ask your question.
David Lewis – JPMorgan: Good morning, guys. I was wondering if you could address two secular trends [inaudible]. One, is the impact of [inaudible] money moving into some of the buy side clients, and number two, the impact of U.S. Detention Protection Act. Is that increasing the money allocated in the buy side clients where they have a need to add more services on the buy side?
Philip A. Hadley: I’m going to take a wild guess at trying to answer this but I’m not sure—other than just guessing, if I look at our large top 100 clients on the buy side, they are so large and some of them are the sovereign funds themselves, that money moving around isn’t probably that material. For them it’s just a big core healthy business that’s been very traditional and [inaudible].
David Lewis - JPMorgan: The U.S. Detention [inaudible]?
Philip A. Hadley: Can you elaborate more on . . .?
David Lewis - JPMorgan: Yeah, I thought Fidelity was--they’re increasing money—the funds that they’re receiving, due to the U.S. Detention Protection Act is increasing and so I assume that that benefits you guys. I’m just curious if that’s material. It doesn’t sound like it is but that was the question.
Philip A. Hadley: No, but I would say that anything that helps the pool of large investment management funds worldwide is good for FastSet.
David Lewis - JPMorgan: And just one follow-up. The pricing on the sell side—you guys touched on the buy side—what are you seeing on the sell side? Currently budgets are down across the investment banks. How strong is the present pressure on the sell side?
Philip A. Hadley: I think that, as I said, their configuration of service has been much tighter in this cycle. I think one of the big variables is based on the way they deploy service and how large they are. It’s certainly seat counts, of which they’ll adjust their head count accordingly based on their thinkings [inaudible] but at the same time I think we’re looked at with the broadening products we defect as an opportunity for them to consolidate onto a [inaudible] platform. So, in a down cycle, typically where a user might have multiple services, they have to choose one service, and we believe that FastSet is the [inaudible] player in being that one service.
David Lewis - JPMorgan: Thank you.
Operator: You have no further questions.
Philip A. Hadley: Thank you very much.
Operator: Thank you for your participation. Your call has concluded. You may disconnect at this time.